Operator: Greetings, and welcome to Appian Corporation's First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will have a question-and-answer session. [Operator instructions] As a reminder, this conference call is being recorded. It is now my pleasure to turn the conference over to your host, Lang Ly, Investor Relations. Thank you. You may begin.
Lang Ly: Thank you, Operator. Good afternoon and thank you for joining us to review Appian's first quarter 2021 financial results. With me are Matt Calkins, Chairman and CEO; and Mark Lynch, CFO. After prepared remarks, we will open the call for questions. During this call, we may make statements related to our business that are forward-looking statements under Federal Securities Laws and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. This includes comments related to our financial results, trends and guidance for the second quarter and full-year 2021, the impact of COVID-19 on our business and on the global economy, the benefits of our platform, industry, and market trends, our go-to-market and growth strategy, our market opportunity and ability to expand our leadership position, our ability to maintain and upsell existing customers, and our ability to acquire new customers. The words anticipate, continue, estimate, expect, intend, will, and similar expressions are intended to identify forward-looking statements or similar indications of future expectations. These statements reflect our views only as of today, and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our 2020 10-K and other periodic filings with the SEC. These documents and the earnings call presentation are available in the investors section of our Web site www.appian.com. Additionally, non-GAAP financial measures will be discussed on this conference call. Please refer to the tables in our earnings release and the Investor Relations portion of our Web site for a reconciliation of these measures to their most directly comparable GAAP financial measures. With that, I'd like to turn the call to our CEO, Matt Calkins. Matt?
Matt Calkins: Thanks, Lang, and thanks everyone for joining us today. In the first quarter of 2021, Appian's cloud subscription revenue grew 38% year-over-year, to $39.1 million. Subscriptions revenue grew 26%, to $63.8 million. Total revenue grew 13% year-over-year, to $88.9 million. Our cloud subscription revenue retention rate was 118% at quarter end. Also of note, we set a new high mark for gross profit margin, and our adjusted EBITDA was positive. These results exceeded our guidance. The business community recently faced its biggest disruption in decades. Organizations responded by adapting faster than they previously thought possible. Low-code was an essential technology enabling change, and will remain essential as businesses maintain a quick metabolism into the future. Everyone sees that business became more agile last year, and changed more quickly than before. McKinsey & Company put numbers around this and found that firms augmented their data security 19 times faster than usual, migrated to the cloud 24 times faster than usual, adopted new technologies 25 times faster than usual, et cetera. Companies are digitizing their operations, customer service, and supply chain three to four years sooner than planned. The ways low-code can help an organization change can be summarized in three points, which I've taken to calling, the low-code promise. You can build an application in one-tenth the time, have it cost one-half as much, and get better functionality. Appian is pioneering the low-code industry. We were the first company to go public as a low-code firm. We're ranked as a leader in over 10 analyst quadrants, including Gartner's Enterprise Low-Code Platforms, and Forrester's Digital Process Automation. More importantly, buyers ranked us as their number one vendor in our industry, according to Gartner Peer Insights. Appian is the leader, and the only leader for North American clients, the only leader for the finance industry, the only leader in the entire analysis for big companies, those whose annual revenue exceeds $1 billion. Appian is popular with buyers because we deliver on the fundamental value proposition of the low-code industry, summarized in that low-code promise I mentioned, remember that speed, savings, and superior apps. For example, a government agency overseeing federal employment regulations became a new Appian customer, in 2015, and uses our platform across half its enterprise. It originally selected our platform to replace 39 disparate case management solutions. It's built over a dozen Appian applications and saves over $18 million annually. In Q1, it purchased more licenses to expand our platform into additional business areas. Another satisfied customer is a leading global insurance company. It has increased its software spend nearly every quarter since first buying Appian, in 2018. Our platform automates a variety of processes across the company's reinsurance claims management, compliance, and employee commissions tracking systems. In Q1, it signed a new deal to license tens of thousands of users globally. We won this deal because our low-code builds apps quickly. For example, we delivered the customer's global reinsurance app in just eight weeks, under the Appian guarantee, while the competition estimated 6,000 person-hours and up to a year to deliver the solution. Here's the third example. A top global bank and existing customer uses Appian to mitigate financial reporting risks across its business. In 2020, the bank expanded our low-code automation platform into its global consumer banking group to systematize hundreds of error-prone manual processes to comply with a regulatory mandate. Appian enabled the bank to meet regulations within a year, saving millions of dollars. Now, in Q1, it purchased a seven-figure deal to remediate another 1,000 high-risk processes before the end of 2021. Low-code is here to stay. Businesses are now expected to be able to implement change by their management, by their investors, by their customers. So, agility is a central reason for the sustained usage of low-code. It is not the only reason though. Mobility is now a necessary part of every application, and that will drive more development to low-code platforms. Also, technical debt rises in times of change, and that too will boost low-code. Let's dig in to these other factors. Last year saw a surge in remote work, and corporate mobile app usage grew 220% globally. Mobile usage on Appian apps, however, grew 1,870% in the trailing four quarters. That's because every Appian app is natively mobile, while most others are not. In today's era of remote work it will be an expectation that applications be mobile-accessible. Low-code and Appian's especially, is an ideal platform for building an application once and publishing it to every device. For example, a top-10 entertainment conglomerate purchased Appian, in Q1, to manage its international labor standards program across 40,000 global facilities. Before Appian, the company struggled to adapt to evolving regulations because it lacks global governance over its regional systems. Now, thousands of fieldworkers will use Appian on any device to audit facilities in coordination with corporate offices. We won this deal because of our mobile support and our performance in a complex proof of concept. In this new era of rapid change agility has become the most important business virtue. Organizations need to be able to pivot their apps quickly. They don't have time to manage cumbersome technical debt. As you know, technical debt is the cost of keeping old applications up to date. In times of change apps go out of date faster, and the already high cost of technical debt becomes almost paralyzing. Appian is the antidote to technical debt. We keep applications up to date automatically. Every quarter, we strengthen our cloud security, just to mention one example, to ensure that every application written on our platform upholds modern security standards. Appian Cloud maintains compliance with over a dozen security certification and audit frameworks. In 2021, we've expanded our ISO 27001 certification, validating our cloud security controls and personal data protection for global customers. Appian recently achieved the high-level National Security Framework certification for the Spanish government. Also, Appian RPA achieved FedRAMP certification for U.S. Government organizations. Appian Cloud proved to be a winning differentiator in Q1. 89% of our new logos chose to deploy in our cloud. For example, a top global private equity firm purchased a seven-figure deal to become a new customer in the first quarter. The firm has a companywide mandate to modernize its systems by the end of 2021. It selected our low-code platform to replace its legacy on-prem investment management system. The customer will migrate over 30 workflows to Appian Cloud before the end of this year. But they suggest they selected Appian because our cloud met their security requirements, and our team built a custom demo in just two hours, while the competition took over a month. An Australian government group that supplies electricity to hundreds of thousands of customers became a new Appian client this quarter. It selected our low-code automation platform to modernize its siloed supply chain business. Before Appian, it lacked digital tools to unify its procurement and legal teams, resulting in bottlenecks and multi-week delays, and supply chain onboarding and reporting. We won this deal because of our superior cloud ratings and strong track record with large government groups. We're making low-code better by joining it with automation. Low-code is about creating applications by drawing a workflow. Automation is about using a workflow to coordinate work across different types of workers, RPA, AI, and people. These industries belong together, and it's time to unify them. Workflow makes this convergence inevitable. Great low-code and great automation come down to the same thing; a great process model. Appian has been a leader in process modeling for more than a decade, and now we apply that strength to a broader market. Appian ships out of the box today with native AI, RPA, and workflow. We also accommodate other AI and RPA under our philosophy of openness. We choose that philosophy because it's right for the customer; it's what the customer would prefer that we do. Some customers want to use existing RPA or AI tools in an Appian workflow, while other customers prefer to use Appian's built-in functionality. There's good reason for them to use our functionality, since Appian RPA has no additional cost for new bots, and Appian AI doesn't require sending data to a third-party. We give them a choice. Appian is a champion for companies that want the freedom to choose their products, instead of adopting a tech vendor's full stack. A leading British automotive manufacturer provides a good example of low code automation. It became a new customer in Q1 and will use Appian to orchestrate work between its supply chain employees and its RPA bots. Before Appian, the company struggled to organize its workers and technologies to address evolving Brexit regulations related to moving automotive parts across European borders. Now, Appian will automate end-to-end delivery processes. Together, shipping agents will submit require documentation. Automation anywhere bots will populate customs data into the company's systems and internal staff will track deliveries, all of it in a single workflow. We won this deal because our open platform automates, complex, processes, and provides governance over the manufacturers existing data and technologies. As the world enters this new era of change, Appian is attracting more interest. As demonstrated by the thousands of registrations for next week's Appian world and our 61% new logo growth in Q1 compared to the same period last year. For example, the top 10 media companies selected our low code platform as a primary tool for its newly formed consumer products division. The group will use Appian to manage the end-to-end process to launch new products globally, from initial market research to final licensing with studios and retailers. Customer bases tight competition wants to grow its thriving consumer products business line. We want this deal because our low code is fast. The customer's first project will be delivered in eight weeks under the Appian guarantee. A year ago, I spoke to you about why Appian will emerge from this pandemic stronger than we entered it. While the full extent of 2020 was unpredictable to the business community, its impact on the way organizations will work tomorrow is clear. Agility is the most important business virtue. Appians open low code automation platform, facilitates mobile usage, eliminates technical debt, and enables customers to adapt quickly, modernize their enterprise and scale. Now I'll turn the call over to Mark for a deeper discussion of our financials. Mark.
Mark Lynch: Thanks, Matt. I'll review the financial highlights of the quarter and full-year and then will provide details on our Q2 and full-year 2021 guidance. Cloud subscription revenue for the first quarter was $39.1 million, an increase of 38% year-over-year and above the top end of our guidance. Our total subscriptions revenue was $63.8 million, an increase of 26% year-over-year. As a reminder, in Q1 2020 we closed the three year on-prem contract and recognized $3 million of revenue upfront. If the customer had instead chosen to have their contract auto renew, on an annual basis is nearly all of our on-prem customers do, we would have recognized just $1 million in Q1 2020. In total subscriptions revenue would have grown 34% year-over-year. Professional Services revenue is $25.1 million, down 12% from $28.4 million in the prior year period, and down from $25.5 million in the prior quarter. Partners continue to be a larger part of our ecosystem. They help us to sell software, and they perform the professional services work with respect to any new service contract they sign. As the usage of partners expands, we expect the proportion of our total revenue for subscriptions to increase over time relative to professional services. Subscriptions revenue was 72% of total revenue in the first quarter 2021 as compared to 64% in the prior year period. Total revenue in the first quarter was $88.9 million, an increase of 13% year-over-year, and also above our guidance range. Our cloud subscription revenue retention rate as of March 31 was 118%, within the 110% to 120% range that we target on a quarterly basis. We remain pleased with our customers expanded use of our platform. Our international operations contributed 32% of total revenue for Q1 compared with 33% in the prior year period, demonstrating the balance of our business both domestically and internationally. Our cloud software bookings were 80% in total software ECB bookings in Q1 2021, consistent with the full-year 2020. Now, turn to our profitability metrics. For the first quarter our non-GAAP gross profit margin was 75%, an increase of 5% compared to the same period in 2020. Subscriptions non-GAAP gross profit margin was 91% in the first quarter, compared to 90% in the same quarter of 2020. Our non-GAAP professional services gross profit margin was 32% in the first quarter, compared to 35% in the same quarter of 2020. Total non-GAAP operating expenses were $68.9 million, an increase of 14% from $60.3 million in the year ago period. This increase was partially offset by impacts from COVID-19, which have naturally decreased certain expenses like travel, entertainment, and office related expenses. Adjusted EBITDA income was $369,000 into first quarter, ahead of our guidance and compared to an adjusted EBITDA loss of $3.6 million in the year ago period. In the first quarter, we had approximately $3 million of foreign exchange losses, compared to $3.5 million in Q1 2020. We don't estimate movements in FX rates, therefore they aren't considered in our guidance. Non-GAAP net loss was $4 million for the first quarter of 2021 or a loss of $0.06 per basic and diluted share, compared to the non-GAAP net loss of $8.2 million or a loss of $0.12 per basic and diluted share for the first quarter of 2020. This is based on $70.7 million basic and diluted shares outstanding for the first quarter of 2021 and 67.5 million basic and diluted shares outstanding for the first quarter of 2020. Turning to our balance sheet, as of March 31, 2021, our cash and cash equivalents and investments were $255.1 million, compared with $258.4 million as of December 31, 2020. For the first quarter cash used by operations was $2.8 million versus $3.9 million for the same period last year. Total deferred revenue was $110.6 million as of March 31, 2021. With respect to our billing terms, the majority of our customers are invoiced on an annual upfront basis, but we also have large customers that are billed quarterly or monthly due to the variability of our billing terms changes in our deferred revenue or for generally not indicative of the momentum in our business. Now I'll turn to guidance. For those new to the Appian story, I like to remind everyone that we believe cloud subscription revenue measures the growth of our subscription business. The true scale of the business is represented by total subscription revenue, which includes support in all subscription revenue regardless of whether the customer deploys at being in the cloud or at prem. For the second quarter 2021, cloud subscription revenue expected to be in the range of $41 million and $41.5 million representing year-over-year growth between 39% and 40%. Total revenues expected in the range of $77 million and $78 million. There are two dynamics involved in the total revenue guide. First, we expect professional services to decline from Q1 '21 because our partners continue to perform more the services work. Partners delivered 70% of our new logos during 2020 in the situations where they help us close a new logo, partners generally perform the services. Second on-prem revenue is proving to be seasonal. Q1 is generally the strongest quarter of the year, and Q2 is generally the weakest quarter of the year. You can see this dynamic in the quarterly results from last year. Adjusted EBITDA loss is expected to be in the range of $16 million and $14 million. Non-GAAP net loss per share is expected to be between $0.26 and $0.23. This assumes 71 million basic and diluted common shares outstanding. The increase loss is principally due to the on-prem seasonality along with the higher expenses due to our hiring efforts. For the full-year 2021 cloud subscription revenues expected to be in the range of $171 million and $172 million representing year-over-year growth between 32% and 33%. Total revenues expected to be in the range of $353 million and $355 million. Adjusted EBITDA loss is expected to be in the range of $38 million and $36 million. Non-GAAP net loss per share is expected to be between $0.68 and $0.65. This assumes 71.2 million basic and diluted common shares outstanding. Our full-year revenue guidance reflects a faster than expected shift from Appian and services to partner services. With that, let's turn it over to questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Sanjit Singh with Morgan Stanley. Please proceed with your question.
Unidentified Analyst: Hi, guys. This is [Melissa John] [Ph] on for Sanjit. Thank you so much for taking the question. So, I guess first just from a high level, hoping to get an understanding of what you've been seeing in the first quarter of 2021 in terms of the broader spending environment, and how that has compared to the back-half of 2020, if there has been any meaningful changes or improvements there?
Matt Calkins: All right, thanks for the question, Melissa. We see a continued growth, a healthy spending environment. We are pleased with the change in our pipeline over the last 90 days. And it is continuous with the changes we saw, the positive changes we saw last year. It's at least as strong as those changes.
Unidentified Analyst: Okay, that's really helpful. And then, so just double-clicking on some of your last comments there about the expectation for services to be going more toward partners. Is it fair to assume then with your total revenue guide staying the same, but cloud moving up, that that delta of the remaining revenue lines is -- is your expectation for services now to be lower than what you originally were expecting, last quarter, when you issued your original guidance?
Matt Calkins: Melissa, that's exactly right. That is exactly right. Yes, we got a very strong guide there on the most important metric. And on the services, we're preferring to remain cautious. Our services are pivoting. Our role in the Appian deployment world is changing. Our role now is going to be expert advice and touching the most customers, but not mainline deployment. So, the rate of the mix shift may be unpredictable and ahead of schedule. But the direction of the mix shift is exactly where we want it to be. And yes, we're just seeing our change being a little bit ahead of schedule here. It's a high variance item. We're certainly not running the business to optimize for hitting CS numbers. And yes, you'll see us being cautious in our estimate with regards to CS. So, the answer generally is yes.
Unidentified Analyst: Okay. Well, thank you, guys, so much.
Operator: Our next question comes from Arjun Bhatia with William Blair. Please proceed with your question.
Arjun Bhatia: Yes, thank you, and good to hear you both. Mark, maybe this one is probably for you, but it sounds like you had a pretty strong first quarter on the cloud subscription line, and the guidance for the second quarter, it looks like it's [7%] [Ph] acceleration. Can you maybe just talk about the full-year guidance? And I think it implies maybe a little bit of a growth drop-off in the second-half of the year. So, is there something from a comp perspective that we should be considering, because I think it sounded like, from Matt's comments, that the pipeline itself was actually pretty strong?
Mark Lynch: Yes, I mean if you look at the way we -- the [beat raise] [Ph] is flowing through the cloud subscription revenue pretty cleanly. The second-half, you get softer comps, right, for cloud. I think we hit 40% both in Q3 and Q4. But from a business -- and as you guys know, we've been doing this for -- this is our 16th earnings call; we're generally conservative on our guidance, right. We generally like to beat our guidance, and so that's -- you see that in this guide here. We're increasing it. We had, I think last quarter, we implied a 31% to 32% growth rate for cloud, and now it's 32% to 33%, so -- but overall, high-level business looks good, pipeline looks strong, and we're cautiously optimistic on where we're headed.
Arjun Bhatia: Okay, perfect. And then, Matt, maybe one of the things that stuck out was the new order growth in the quarter. Can you maybe just comment, is that partners that are driving that, have you made any changes to your marketing or your top of funnel? And then is there anything that we should think about in terms of how the deal sizes for your new customers have evolved over the past year or so?
Matt Calkins: Yes, well, we're pleased with that new logo growth, of course. And I'm also pleased with the size of some of these new deals that we're bringing in. We're getting larger deals, and I think Appian can convey value at a larger scale. So, to see those larger deals come in feels to me like a validation of my belief about where we can be in this market. And so that's another positive direction. You asked where the new logos are coming from. They are coming mostly from partners. And our relationship with partners is better than ever. And we're getting a lot of lift, both from the customers that the partners bring us to, and also the partners' placement of their own solutions. So yes, but definitely partners mostly.
Arjun Bhatia: Okay, perfect. Thank you both.
Operator: Our next question comes from Christopher Merwin with Goldman Sachs. Please proceed with your question.
Unidentified Analyst: Hi, this is Kevin on for Chris. Thanks for taking my questions. Last year was relatively strong in terms of new customer adds. Is there any color you can provide on how the newer cohort of customers are doing from an expansion perspective relative to the more mature customers?
Matt Calkins: Well, you mean other than the net revenue retention rate that we quote. Now, that would be the best statistic that I would use. And it remains at the high end of our range; we're pleased with where it is. And it shows that our customers have a healthy appetite for growing their Appian instance once they join the family.
Unidentified Analyst: Great. And then maybe on the EBITDA guide for full-year, I think you kept at the same despite maybe a better mix of subscription revenue for the year. Should we take that to mean kind of ongoing investments in go-to-market and product? How should we think about hiring for the remainder of the year?
Mark Lynch: Yes, we're aggressively hiring. Like we said last quarter, we're aggressively hiring sales reps, marketing folks; we have a new CMO, and software engineers. So, we're going to continue to aggressively hire. So, we decided to keep the guide the same based on some additional investments that may come in through the second-half of the year.
Unidentified Analyst: Great, thank you.
Operator: Our next question comes from Steven Enders with KeyBanc Capital Markets. Please proceed with your question.
George Kurosawa: Hi, this is George Kurosawa on for Steve. First, a high-level question for Matt, [indiscernible] customer adoption you're seeing for the full [hyperautomation] [Ph] portfolio, and in particular [technical difficulty] highlight [technical difficulty] BPM capabilities? And then a quick follow-up clarifying question, Mark, on the guide, it looks like you took down the '21 EPS guide less the EBITDA guide. Could you just help me understand what's your delta? Thank you.
Matt Calkins: Shall I start, Mark, then you go?
Mark Lynch: Yes…
Matt Calkins: Okay. So, we are currently -- okay, first of all, yes, we have the automation experience, we're deploying it, we got happy customers. I mentioned one of the automation case studies in my prepared comments today. We're pushing out more case studies soon so that we can get public, credible, large-company testimonials of how great it is to be an Appian low-code automation customer. So the answer is yes, there is real value there, customers are experiencing it, and they will testify to it. And, Mark, about the EBITDA?
Mark Lynch: Yes, so the adjusted EBITDA is the same from a guidance perspective, 38 to 36, and it's probably the reconciled items between the non -- between the EPS calculation and the adjusted EBITDA, and it could be a share change as well. And I can help you with the model offline, but that's -- 
George Kurosawa: Great, thank you, both.
Operator: Our next question comes from Derrick Wood with Cowen and Company. Please proceed with your question.
Unidentified Analyst: Great, thanks. It's Andrew on for Derrick. Hey, guys. Mark, international revenue, looks like it slowed a little bit. Was there an impact on PS there? And any color on what the cloud subscription growth was?
Mark Lynch: Basically, you're going to have some variability because of the professional services, and that's predominantly what it is, the growth rates are -- internationally, they're doing really well. So, the growth rate from a cloud subscription revenue growth rate is similar to the U.S., and it's strong. I would say the 1% difference is mostly professional services.
Unidentified Analyst: Great, thanks. And then, Denise joined in February, any new initiatives she's driving to help that new logo growth? And anything else you're excited about on the marketing front would be great to hear?
Matt Calkins: We're actually very excited on the marketing front. And the new initiatives Denise has going I think it would take too long for me to list them. But she's a dynamo. And we've some efforts underway that I think we've been excited about doing for a long time. And we're able to do them now and well. Perhaps my favorite is the encouragement of the -- of our community. The Appian community is everybody who logs on, everybody's got a clearance. Everybody is saying they got a certification right past one of our tests, a buyer of our software and answer or asker of questions, or we want our community to be easy to join. It's very important in 2021, that Appian be able to build a large community of affiliated individuals. And we're off to a hot start this year in building the community. Our new Community edition, which is a free version of our software that anybody can walk up and use, get access to quickly, build things on, and then even move what they've built into a production instance later on, if they buy the software. That's a great new way to get involved in the Appian community, something that she's been integral to setting up and it's taking off. So I'm really pleased with what we're doing on the marketing front, right now.
Unidentified Analyst: Great. Thanks, guys.
Operator: [Operator Instructions] Our next question comes from Fred Havemeyer with Macquarie. Please proceed with your question.
Fred Havemeyer: Hi, thank you for this. So firstly, I'm happy to see professional services as a percentage of revenue starting to come down here. I'd like to just understand a couple of different dynamics that are showing up in the model here. Firstly, it looks like the federal business is continuing to expand as a percentage of overall revenue. It looks like it's at about 21% now and growing about 58% year-over-year. So I'd love to understand what you've seen in terms of the cadence of that federal business, and with it growing ahead of the overall business. Is there anything to call out on your momentum within corporates?
Matt Calkins: Yes, Fred there has been a few positive developments for us lately on the federal side. We had a really solid third quarter. We've been productive since then. And our federal solution is showing a lot of promise. In fact, maybe the most promise of all the solutions I add to the pipeline looks good. I think that we've just had some good things turn our way in the federal space. I'm hopeful for a solid 2021 in the federal market. Also state and local, where we've made additional, we've made some efforts slightly to take our success on the road, and see if we could do as well in state and local as we've done in the federal space and no results yet, but the early indications look good.
Fred Havemeyer: Thank you there and as a follow-up question. So I'm interested in a number of different topics here. But in particular, the three points quarter-over-quarter decline in sales and marketing expense here. You've been talking about some different aspects of your business where you're hiring, you're expanding, and you're going to market more aggressively. Love to understand, is there anything to call out in terms of that sales marketing decline that was helping margin this quarter?
Matt Calkins: I think part of it is the on-prem seasonality that on-prem number. So it kind of distorts the percent of revenue costs for sales and marketing.
Mark Lynch: And then it's the travel.
Matt Calkins: Yes, but like you so for example. Sales and marketing is sequentially up costs, quarter-over-quarter is $33.7 million in Q4, and then Q1 it's $34.9 million. So, it's going in the right direction.
Fred Havemeyer: Got it. Thank you there. And then just last one I'll get in then. And then I'll hop off the queue or back into the queue here. So, overall, how would you take a look at the competitive landscape and just rank where you believe you stand in the competitive landscape this time, because we certainly heard from a number of enterprise software platforms out there about their low code capabilities. Some of them showing some momentum there. So, I'd love to hear about your perspective on your competitive landscape, and generally, where you see your win rate standing? Thank you.
Matt Calkins: That's right. You're right. A lot of organizations are talking about low-code. I love it when they do that, actually, because low-code means workflow. And workflow is something you can be really good at, or just okay at, and we've spent a long time building our capability in workflow. Low-code is about workflow and also automation is about workflow, we feel that our long standing advantage in workflow and process management is going to give us a meaningful advantage in the current market. And a lot of the hype that's generated around low-code is going to send potential buyers researching, to figure out which vendor can meet their requirements most fully. Appian intends to be the vendor that can meet their requirements most fully, the vendor with the best functionality and the happiest customers that is and remains our mission in this space. In order to be the pioneer, we also have to be the pioneer in the emerging definition of low-code automation. The merging of these two markets, which we have done, we shipped out of the box with the components that comprise automation in addition to the components that comprise low-code, bringing together these markets, and creating that new industry perimeter is an essential part of our leadership. You'll see us continue to establish and defend that new perimeter, which gives us a real edge over those who provide just one part of it. Overall, I'd say our ability to be competitive is at least as strong as it has been in the past, I feel good about our odds, no matter who we're up against in any deal. And our customers, as you saw in the Gartner Peer Insights Survey, rank us as their number one choice in our industry, not only by the way did we come out at the top of that analysis in terms of the quality, right of our product and our experience. But we also received the most votes or I'm sorry, the most reviews, which is to say, we're also the most considered and the most responded to product in our industry, in addition to being the favorite product. I think it says a lot for our ability to maintain and then to deliver in this high end space that we've chosen for ourselves that the customers have noticed over here, have an opinion about Appian. And that opinion is very strong.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.